Operator: Good morning, ladies and gentlemen and welcome to the Plexus Corp. conference call regarding its third fiscal quarter 2010 earnings announcement. At this time, all participants are in a listen-only mode. After a brief discussion by management, we will open the conference call for questions. The conference call is scheduled to last approximately one hour. I would now like to turn the call over to Ms. Ginger Jones, Plexus Vice President and Chief Financial Officer. Ms. Jones, you may begin. 
Ginger Jones: Good morning and thank you for joining us this morning. Normally, Angelo would open the conference call and present the Safe Harbor information. But he is currently on assignment in Penang, assisting our team with a many initiatives we have in that region. So I will take his portion of the call for this quarter. Before we begin, I would like to establish that statements made during this conference call that are not historical in nature, such as statements in the future tense and statements including believe, expect, intend, plan, anticipate and similar terms and concepts are forward-looking statements. Forward-looking statements are not guarantees since there are inherent difficulties in predicting future results, and actual results could differ materially from those expressed or implied in the forward-looking statements. For a list of major factors that could cause actual results to differ materially from those projected, please refer to the company’s periodic SEC filings, particularly the risk factors in our Form 10-K filings for the fiscal year ended October 3rd, 2009 and the Safe Harbor and Fair Disclosure statement in yesterday’s press release. The company provides non-GAAP supplemental information. For example, our call today may refer to earnings or EPS excluding restructuring costs or other unusual items. Non-GAAP financial data is provided to facilitate meaningful period-to-period comparisons of underlying operational performance by eliminating infrequent or unusual charges. Similar non-GAAP financial measures including return on invested capital are used for internal management assessments because such measures provide additional insight into ongoing financial performance. For a full reconciliation of non-GAAP supplemental information, please refer to yesterday’s press release and our periodic SEC filings. Joining me this morning are Dean Foate, President and CEO, Todd Kelsey, Senior Vice President of Global Customer Services and Mike Buseman, Senior VP of Global Manufacturing Operations. We will begin today’s call with Dean providing third fiscal quarter commentary about our market sector performance and outlook, our new business wins, capacity utilization, and guidance for the fourth quarter of fiscal 2010. I will follow up with details about the third quarter financial performance and make some additional comments about the fourth quarter of fiscal 2010. Let me now turn the call over to Dean Foate. Dean?
Dean Foate: Thank you Ginger. Good morning everyone. Last night we reported results for our third fiscal quarter of 2010. Revenues were $536 million, with EPS of $0.59. Revenue was in line with the mid-point of our guidance range, while EPS approached the higher end of the range due to strong operating leverage. Our third fiscal quarter marked the first time we exceeded $500 million in revenues, establishing an important milestone for the company. We anticipated a strong quarter when we established guidance. Revenues were up 9% sequentially, while EPS grew 16%. Return on invested capital improved to 19%, closing in on our target of 20%. Ginger will provide additional insight on our financial performance and model during her comments in a few minutes. While our third-quarter performance was strong overall, included with results in our guidance range, it is important to consider that we guided conservatively relative to an even stronger internal forecast. The quarter was challenging, with several customers adjusting forecasts lower during the period. For a few weeks in June it appeared that we might conclude the third quarter near the bottom end of our guidance range. European demand reductions in our wireline networking sector played a role in the forecast reductions, although the reset in our customers’ European regional demand appears stable at this point. While a few customers did improve their forecast during the quarter, the constrained supply chain environment continued to limit our ability to service near-term increases in demand. Customer forecast reductions also impacted our fourth fiscal quarter, as our guidance suggests a pause in revenue growth. The inventory in our balance sheet bears witness to some forecast push outs with the anticipation of sequential revenue growth, resuming as we enter fiscal 2011. Turning now to comments on our sector performance in our third fiscal quarter and our current expectations for our fourth quarter of 2010. Our wireline networking sector was up about 6% in Q3, slightly better than expectations when we established guidance as we benefitted from some late quarter demands that offset weakness in European end markets. Looking ahead to Q4, we currently expect our wireline networking sector to be flat to slightly down as the majority of our top 10 customers in this sector have trimmed their forecasts. Our wireless infrastructure sector declined approximately 13% in Q3, declining more than our earlier expectations. While we have enjoyed some success diversifying our customer portfolio in this sector, our customer list is still relatively short and some customers are currently prone to lumpy demand. In Q4, our wireless infrastructure revenues are currently forecasted to grow approximately 10%, driven primarily by strong demand with a larger count and by newer business ramps. Our medical sector revenues grew approximately 90% sequentially in Q3, consistent with our expectations. This is the third quarter in a row where we enjoyed mid to high teens growth for our medical sector. While we are benefitting from an improved demand environment for several medical devices, our growth is also the consequence of our successful strategies to increase our share with key customer accounts, diversify our portfolio customers, and diversify the medical technologies we manufacture. We currently anticipate that our fourth fiscal quarter will be flat to up slightly, as a few of our accounts are adjusting forecasts down after a couple of exceptional quarters of growth. Revenue in our industrial commercial sector was up approximately 21% in Q3. We had anticipated an even stronger result. The sequential growth was broad-based across our customer portfolio. As we expect Q3 to be another sequential growth quarter for our industrial commercial sector, we are forecasting growth in the mid-teens percentage range, although the growth profile is not as healthy when compared to the previous two quarters. While two customers are anticipating growth, including the continuing ramp of the Coca Cola program, the majority of our customers are forecasting weaker demand. We experienced robust growth in our defense, security, and aerospace sector in our third quarter. Europe program ramps delivered the majority of this growth. The outlook or Q4 is flat to slightly up. Turning now to new business wins. During Q4 we won 22 significant manufacturing programs, which we currently estimate will deliver $141 million in annualized revenue when the programs are fully ramped in production over the current quarters, subject of course to the rifts around the timing and ultimate realization of the forecast revenues. Our funnel of opportunities remains healthy, at $1.8 billion, with approximately 50 opportunities in the $10 million to $50 million range, where we compete very successfully. Our engineering business continues to win a sufficient amount of business to support healthy growth. In Q3 we won $60 million in engineering programs. Addressing capacity utilization and global growth, our as tooled capacity utilization in Q3 was approximately 84% overall for the company, a level that will limit our growth opportunities without further investment. Our utilization rates at our current facilities in Penang, Malaysia are very high and our value proposition continues to be very attractive to customers. Therefore, we have continued to build an additional facility in Penang that we anticipate will be operational in early fiscal 2012. We are now refining our fiscal 2011 and longer-range plans. As we complete our work and gain confidence in the recovery we will continue to evaluate the timing and scale of additional investments that will be required to support our global growth strategy. On the manufacturing capacity short list are China, where utilization rates are rising quickly, and Romania, where we ultimately need to move out of the entry-level leased facility where we operate today, to a more appropriate facility that can support longer-term growth. We also remain committed to our product realization services strategy in continental Europe, and we continue to explore alternatives to extend our engineering services capabilities to this important marketplace. Turning now to our guidance. Our current view is that our fourth fiscal quarter will show modest sequential revenue growth. We are establishing fourth fiscal quarter revenue guidance of $530 million to $555 million, with EPS of $0.58 to $0.63, excluding any restructuring charges and including approximately $0.06 per share of stock-based compensation expense. While Q4 represents a pause from the exceptional growth we experienced over the past few quarters, overall fiscal 2010 is on track to be an excellent (inaudible) with year-over-year of organic revenue growth likely to exceed 20%, bringing full-year revenues near $2 billion with industry-leading return on invested capital performance of approximately 19%. With that, I will turn the call over to Ginger.
Ginger Jones: Thank you Dean. As Dean mentioned earlier, revenue and earnings were near the top end of the guidance range. The quarter ended largely as we expected, but as Dean pointed out, it was an interesting ride. Gross profit was 10.4% for the fiscal quarter. This was in line with our expectations and slightly above the second fiscal quarter. Selling and administrative costs were $28.5 million, higher than our expectations for the quarter and our spending in the second fiscal quarter. Approximately $500,000 of these costs I would consider not likely to carry over to Q4 F10 spending and were related to hiring and relocation of employees and costs to support planned growth. In addition, we have begun making investments in staff and cost to support the high level of growth we are experiencing in fiscal 2010 and to support continued growth in fiscal 2011. SG&A costs as a percentage of revenue decreased again this quarter to 5.3%, an expected result as we obtained better leverage from the increased revenue during the third quarter. The last item for discussion on the income statement relates to our tax rate. The full-year tax rate recorded in the third quarter was 2%, consistent with what was recorded in the second fiscal quarter. As a reminder, variations in mix of forecasted earnings between jurisdictions can have a significant quarter-to-quarter impact on our estimated tax rate. Earnings in our Asian locations benefit from negotiated tax holidays in both Malaysia and China, while U.S. earnings are taxed at the full 38% federal and state tax rate. Moving on to the balance sheet and cash flow, working capital management was more challenged in the fiscal third quarter. The cash conversion cycle increased by 9 days during the quarter’s 75 days, higher than our expectations of 68-72 days. Some of this increase was the result of demand variability from our customers and the challenges of a constrained supply chain environment. I’ll now get into the details by balance sheet line items. Days in receivables increased by 2 days to 47 days. This is a more normal level of AR for us based on our negotiated terms with our customers. Days in inventory were 89 days, consistent with both the first and second fiscal quarters of this year. The dollar value of inventory increased by approximately $38 million, or about 9%. This increase in inventory dollars was largely based on our customers’ demand variability and the lengthening lead time for many components. We entered the third fiscal quarter with customer forecasts that drove higher inventory investment, not all of which materialized into revenue. And, we are constrained in some cases by parts availability, which particularly limits our ability to respond to demand upside. Although the inventory build is an issue we take seriously, part of our value proposition and our pricing model with our customers is built on higher inventory levels. Those higher inventory levels can benefit both us and our customers with greater flexibility to ship product and recognize revenue at the end of the quarter, which we definitely saw in the last few weeks of this quarter. We managed this inventory risk prudently, as demonstrated by the approximately $28 million of cash deposits on our balance sheet, equivalent to about five days of inventory, which helps to mitigate our inventory risk. Accounts payables days decreased by 7 days to 61 days. The volatile supply chain environment has made managing accounts payables more difficult and we expect to improve from this in future quarters. Free cash flow for the quarter was negative, in the amount of $48 million. We utilized $32 million of cash in our operations, largely for the working capital investments described above. During the quarter we spent $16 million in capital expenditures, primarily for equipment to support new programs and increased customer demand. All of our investments and working capital are managed to ensure that we maintain an appropriate amount of cash to support ongoing operations and to deliver a strong ROIC to investors, both of which we believe we accomplish. I’ll now turn to some comments on the fourth quarter of fiscal 2010. We are happy that our third quarter results continue to demonstrate our ability to return to our long-term 20-10-5 financial model. For those new to the Plexus story, our financial model targets a 20% ROIC, 10% growth margin, and 5% operating margin. The 20% ROIC target is based on a spread of 500 basis points above our estimated weighted average cost of capital of 15%. Growth margins should be consistent with our model and slightly above 10% in the fourth quarter. This will likely be lower than the 10.4% that we saw in the third quarter and reflects the investments we’ve been talking about in people, information systems, and equipment to support the strong revenue growth that we anticipate. SG&A for the fourth quarter of 2010 is expected to decrease slightly and is expected to be in the range of $28 million to $28.5 million. This is a small decrease from the spending in the third quarter of fiscal 2010. Modest increases in head count and discretionary spending will be offset by nonrecurring costs from the third quarter. Depreciation expense is expected to be approximately $11 million to $11.3 million in Q4, up from $10.4 million in Q3. We continue to estimate that the effective tax rate for fiscal 2010 will be in the low single digits, most likely at the 2% rate that we have recorded in the fiscal third quarter. As demonstrated in recent quarters, the tax rate can vary during the year based on the mix of forecasted earnings between taxing jurisdictions. Our expectations for the balance sheet are for inventory to be relatively flat and for accounts receivable and accounts payable to increase in dollar terms for the fourth quarter. Based on the forecasted levels of revenue, we expect these increases will result in slightly lower cash cycle days. We currently expect cash cycle days of 72 to 74 days for the fourth fiscal quarter. This increase is primarily the result of an expected increase in days of payables based on the timing of inventory purchases during the quarter and payments to our suppliers. Year to date we have spent $47.3 million in capital and expect a significant capital spend in the fiscal fourth quarter. Our capital spending forecast for fiscal 2010 remains at $80 million to $90 million as we discussed in the April conference call. As Dean said, actual capacity remains high at 84%, which is not sustainable to support new programs and retain white space to show to potential new customers. As a result, we are making plans to expand our footprint in close proximity to our existing locations, including the fourth manufacturing site in Penang Malaysia that was announced yesterday. We expect to spend $9 million in capital for this site in the fourth fiscal quarter for the acquisition of land. The balance of the capital and initial equipment for that new facility will be spent over fiscal 2011. Beyond the new site in Penang, we are also actively reviewing potential expansion in close proximity to our existing locations in Xiamen, China and Oradea, Romania. The timing and size of these expansions will be dependent on how we see customer demand in these regions evolve, although investment in both locations is likely to begin sometime in fiscal 2011. Our financial model and targeted ROIC is designed to generate enough cash to support 15% to 18% revenue growth. In a year like fiscal 2010, in which we will likely exceed that revenue growth rate, we would expect to use some of our excess cash to fund growth. We expect to be negative in free cash flow during fiscal 2010 to fund working capital and capital expenditures. We calculate free cash flow as cash provided by operations less capital expenditures. As a reminder, we generated $113 million in free cash in F09 and we believe these ebbs and flows of cash are a normal part of the EMS business. We expect to fund these investments with our existing cash and have no plans at this time for additional borrowing. As a reminder, we do have a committed $100 million line of credit with our existing bank group that could be utilized if we have short term cash needs. This period of strong revenue growth is an exciting time for Plexus and we are managing with our usual care and discipline. As a management team we are committed to making the right investments to support growth while delivering our financial model and results to our shareholders. With that, I will open the call for questions. We ask that you limit yourself to one question and one follow up. Operator, please leave the line open for follow up questions.
Operator: (Operator instructions.) Our first question comes from Reik Read of Robert W. Baird.
Reik Read – Robert W. Baird: Dean, you talked about this “pause.” Can you give us a little bit of color on some of the delays that you’re seeing? Is it consistent across the various segments? And you seem to suggest that it will resume as you get into the December quarter. Can you give us your confidence interval there and why that may be?
Dean Foate: I think it’s been an interesting couple of months here. As we came into Q3 we had . . . and we look forward to our Q4 forecast. At one point we had a Q4 forecast that was in excess of $600 million. So we saw that forecast come down in a fairly broad-based way. As customers started to perhaps adjust to a different reality in terms of overall economic growth and demand. And perhaps it’s not so surprising coming off the bottom. When things start to get better perhaps the pendulum has swung a little bit too far. But clearly there was quite a bit of adjustment that took place in anticipation of that and as we started to see that happen that’s why we really guided our Q3 . . . we took a quite conservative bias off what was really a much stronger internal forecast. Now, of course, the customers are trying to drive you toward higher numbers as they try to close opportunities, which for many of them tend to happen later in the quarter, and we saw some of the benefit of that as we just came out of the end of Q3 with a few of our customers in the communication space. But at this point what has happened is that the Q1 forecast over the last month or so has improved quite a bit. So we’re feeling pretty good about resumption of growth as we come into the new fiscal year although we’re kind of loathe at this point to give guidance on it because of what’s been happening here with gyrations and more negative bias generally speaking as to customer forecast. I’d like to just say that none of the decrease in the growth has come from, in any significant way at all, from any share loss or anything like that. It’s all been just customers, in a fairly broad sense, adjusting forecasts down from what they had in terms of early anticipation of what they were going to accomplish as they came into the year.
Reik Read: Okay, and then just a quick follow up on the wireline side of things. Can you give us an update maybe on the status of Starent and Avocent, the ability to maintain business with those guys? And is there any progress in working with those parent companies to maybe secure additional business?
Dean Foate: I’ve had Todd come here today specifically to address a couple of issues and that’s one of them so I’ll let him speak to that.
Todd Kelsey: So certainly the Starent relationship and the Avocent relationship are a bit different in the way we’re treating them is a bit different although we’re taking a conservative approach internally on both. When we look at Starent, again our expectations or the way we’re planning it is as if the business will exit Plexus. So as we plan growth projections and other things we’re planning that it will leave. We’re aggressively working with the Cisco people to develop a long-term relationship with Cisco that if it comes to fruition may or may not include the Starent product because there are other areas of interest that Cisco has with Plexus. So we continue to pursue that. We have high-level relationships developed. We’re hopeful that we can pull that across the finish line but at this point we’re planning as if it will not. Now the Avocent Emerson relationship is a bit different. We certainly have the ability to keep that business should we so choose. The challenge there is coming up with an acceptable business model for both Plexus and Emerson. It’s a highly competitive business and again we continue to work it internally to see if we can come up with some interesting solutions but right now our longer term plans are that the business will exit. Or at least that’s what we’re planning in a conservative way although that still is not by any means a done deal.
Dean Foate: Todd, why don’t you just mention what our anticipated timing is, particularly for Starent, since that one probably has more certainty to it.
Todd Kelsey: Yes, the Starent, what our expectations are is that we have it forecast pretty healthy in Q4 and Q1, and then it starts to ramp down from there. And I would say if anything that’s conservative in a negative way towards Plexus. That’s likely to stretch out further.
Operator: Our next question comes from William Stein of Credit Suisse
William Stein – Credit Suisse: This is (inaudible) on behalf of William. First question is, could you actually provide a little more detailed update on demand trends by geography? Particularly in Europe, where demand had weakened (inaudible). So a little more detail around that?
Dean Foate: I think . . .maybe Todd would like to chime in here . . . Just to say generally speaking I think demand in Europe was really just reset around perhaps lofty expectations via wireline infrastructure and networking folks, and that adjustment has been made. Beyond that, I don’t know that there’s any significant changes to our other sectors that you can really point out we’re seeing good demand. Todd, you want to . . .
Todd Kelsey: Sure, so just to maybe give you a little bit of color around what happened in Q3. Roughly mid-quarter we saw four significant customers in the wireline wireless sector show significantly lower demand in Europe. Of those four customers, the European demand did not recover within the quarter and three of the four actually ended up considerably down on the quarter based on that European demand. Now we haven’t seen any long-term or lingering effects. What happened, as many of you have observed already, our wireline sector in particular was strong during the course of the quarter and what we saw was an offsetting increase from a number of our major direct order fulfillment customers. So at this point we’re not seeing any further demand decreases in Europe. It had been limited to that single sector and our expectation is this was a bit of a pause or reset and things are back on track in Europe.
Credit Suisse Analyst: And then, in the company’s traditional niche market of high-mix, low-volume manufacturing are you guys seeing increased competition from larger EMS companies like Flex or Celestica or Jabil in this market and is there any threat to the traditionally better position in that market? 
Dean Foate: I don’t think that the competitive landscape . . . certainly the rhetoric has changed out of our competition relative to their place on this part of the marketplace but the reality is that the dynamics of competition I don’t know have markedly changed much other than I think our competitors are starting to get a little bit more disciplined around pricing. And so to me that proves our situation quite a bit because this is the sole focus on our company and we think that our model is more finely tuned to execute on this kind of business and to price it more accurately. So I think our competitive situation has actually improved some, even though there’s a lot of attention on this marketplace. And I think it’s also really important to understand that the market has very low levels of penetration. And that additional attention on the market in some respects maybe benefits us all as the OEMs move more aggressively toward an EMS outsource model
Credit Suisse Analyst: And just one last one. Could you provide an update on the planned ramp-up of the Coca Cola freestyle (inaudible) machines. I’m aware that you guys are tracking.
Todd Kelsey: Right now Coca Cola is ramping, per our previous guidance is the way our previous messaging that we provided. It’s having an impact Q4, certainly ramping towards a top-ten customer in Q4 we see more substantial ramps in F11. Right now we believe that’s on track. I think it’s public that the freestyle machine is out in four different markets right now and it’s being accepted very well. Coca Cola’s really excited about it and we’re very excited about it as well.
Operator: Our next question comes from Jim Suva of Citi.
Jim Suva – Citi: Hi this is actually Samuel Mann [ph] on behalf of Jim Suva. First, congratulations on the quarter. You’ve shown great success in medical, a higher-margin category. Can you speak a little on the competitive landscape and the sustainability of pricing and margins?
Dean Foate: Yes, I think we have had quite a bit of success in medical and I think it’s been a consequence of the several things that I pointed out in the script, part of which is an improving end market and perhaps an expansion of the market for the medical technology companies, at least in the U.S., are going to have a lot more customers with the healthcare bill that’s in place. But also because we’ve really worked hard to diversify our business. We’re seeing a resurgence of imaging technologies that’s fairly broad-based but I would say it’s not necessarily strong other than I think some strength in the ultrasound part of the imaging. But some of the other imaging is picking up as well. You made a statement about margin, I think this is one of the misnomers that seems to continue to live on in our industry, that somehow the medical technology space has got these excessively sweet margins and it’s why many of our competitors try to pursue that kind of business. In reality the margins for most medical technologies are not unlike the margins that you would get for any of the other technologies we build in other spaces because the medical business, particularly in manufacturing and operations, carries with it additional costs in order to manage the regulatory processes, manage component tracking, etc. So when you get down to it, the fact that medical grows for Plexus, or grows for any of our competitors, doesn’t have what I believe to be a material impact to the overall financial model of the EMS companies. I think that for us, it’s really a question of our competitiveness here around a couple of things. One is around having the processes and technology and regulatory controls in place at multiple facilities around the world including Asia where we’re very unique there in terms of Class 3 capabilities and also the strength of our engineering services engine, which is a huge benefit to medical product companies as they look to bring technologies into the marketplace. So I think we have a very strong competitive advantage here and I think that’s evidenced in the growth that we’ve seen here over the last several quarters.
Samuel Mann - Citi: Did the issues that you outlined last quarter have any impact on the long-term plans that you outlined in the investor day to expand into Europe?
Dean Foate: Are you saying relative to the pull-back that we saw in the quarter?
Samuel Mann - Citi: Yes.
Dean Foate: Not really. We do that just as a . . . customers that forecasted one thing and it turns out to be wrong. And so they back down from those forecasts. So to me, it doesn’t say anything really, generally speaking, about the broad attractiveness of that marketplace to Plexus. We think it’s an underserved market from the standpoint of somebody in the mid- to low-volume higher-mix space. There are some very good regional competitors there that we have to have a lot of respect for on a competitive basis, but in terms of EMS companies with global reach, global scale, they have not had a tremendous focus in our view at least, on the European marketplace. So we think with our combination of engineering services and our focus on this market and space that we can be very successful there. So we’re going to go full steam ahead here with continuing to aggressively go after relationships in that market.
Samuel Mann - Citi: Does it delay thoughts on timing at all?
Dean Foate: It does not. We already opened a facility there in Oradea. We are bringing new customers into that facility in Oradea. We need to replace it as I said because it’s not a long-term solution for us. So you can expect us to do that as we get confidence in our F’11 forecasts and our ability to take on another project, considering we just committed now to an expansion in Penang. But the Oradea one is right behind it as well and we’re continuing to look at a way to enter with engineering services, which could, in our view most likely be a green field startup of an engineering center in Europe, something that we’ve done successfully multiple times and one that we think is a strategy we can replicate unless we happen to find a really nice, small engineering entity that we can bring into the Plexus fold and get them into our service model.
Operator: Our next question comes from Sherri Scribner of Deutsche Bank.
Sherri Scribner – Deutsche Bank: I was hoping you could give a little more detail on the industrial segment. I think you had mentioned in the comments, Dean, that it would be flat to slightly up. You’re seeing actually mid-teens growth but it was a bit lower than you thought. That’s a pretty diverse segment. I was hoping to get a little more detail on, is that primarily exposed to the U.S., which is what I would assume. What are you seeing from your different customers there? Obviously Coke is probably a nice piece of that business but wanted to get a little more detail.
Dean Foate: I think what I was trying to do is give a sense of, over the last couple of quarters, Sherri, we saw a very good broad-based pickup in demand in that sector. So when you look at the customer list, things are all lit up green, a lot of growth going on, and that’s really what happened in Q3, where we were up about 21% sequentially. We expected actually to be a little bit stronger than that but that was still a very good result in industrial commercial. Now when you look at Q4, we do have a couple of customers where we’ve won some new business that are ramping up in the quarter so that’s contributing to some of that mid-teens growth. But generally speaking we’re seeing a weaker set of forecasts coming out of a broad set of customers in industrial commercial into Q4. And so a lot of the growth, obviously, is then going to be attributed to the sequential increase in the early ramp up of the Coca Cola technology. So it’s up, it’s up mid-teens. From the outside looking in that looks like a pretty good number but in reality when you look at the customers’ forecast it’s really driven by Coke and a couple of early ramps of new products that we’ve won. And the rest of them have all paused again here in their forecasts and we’re expecting an improvement again as we come into Q1. So I think there’s just a bit of, in our view, generally speaking, I’m going to probably sound like I’m repeating myself, but I think there’s a bit of general reset going on here in terms of forecast within the customer base.
Sherri Scribner : Okay, so there’s a pause in Q4 and then it starts to look like maybe we see a bit more growth in fiscal Q1? Is that fair to say from what you’re seeing?
Dean Foate: That’s currently what we’re anticipating and that’s what the numbers tell us, but I’m trying to be careful not to start guiding next year. But that’s the reality of what we’re seeing at this point.
Sherri Scribner: And that’s primarily in the U.S. I would assume?
Dean Foate: Well, these customers, we execute revenue for them in both the U.S., Europe, and Asia. So we’re seeing this, in terms of where we execute the revenue. Now it’s a little more difficult in this sector for us to really get a grip on where all the products flow ultimately, where the customers consume the product. Because there’s just lots of different mix and assemblies that flow all over the world. We can take a rough guestimate and try to get at those numbers but it’s a little difficult for us. We understand it more by industry sector than we do by actual region and market.
Sherri Scribner: So it sounds like generally, globally, the U.S., Europe, and Asia, you’re seeing a bit of a pause in the industrial segment.
Dean Foate: I would say that’s a fair statement.
Sherri Scribner: And then I was hoping to get a little more detail on the component constraints. Clearly this is not something that’s new. Have you seen any change in the rate of improvement? Or is it still about the same as where we were? Just want to get a little more detail.
Dean Foate: I’m going to let Mr. Buseman take that since he runs the global operations and the supply chain organization reports into him, so he gets the day-to-day misery associated with that. So let him take that one on.
Mike Buseman: A short answer would probably be that, pretty similar to what we’ve seen over the last couple quarters. So as Dean said, the misery is probably not that much different. I think we’re encouraged. We see the investments going on in the extended supply chain, I think are good indicators that things will progressively get better, but I’d say we’re right now right about where we were at last quarter.
Dean Foate: And I’d just add to that that we’re really in that cycle now where some of the bigger OEMs, and therefore the bigger consumer oriented EMS guys are going to be chasing hard for the Christmas rush on consumer products. So I think that’s going to put some real stress on certain component technologies certainly in the marketplace and the component fabs and I don’t think that we’re going to clear that kind of hurdle until after we get through that billed cycle and then we’ll get a sense of how things are shaking out. I think again, anecdotally, like Mike said, we’re seeing the investments obviously. We directly benefit from some of them, with semiconductor capital equipment guys who we’re seeing some pretty dramatic improvement in their outlook as they’re starting to ship systems and fabrications test systems and things to those customers.
Sherri Scribner: Okay, so even though you don’t have the exposure to consumers, the fact that the fabs will be shifting focus to those you think will impact you the next couple of quarters.
Dean Foate: I think it’s not going to help us. I think one of the things is we enjoy really good relationships with our supply chain partners. The fact that we are an engineering services engine as well and we get to choose which parts get designed in the technologies gives us a lot of leverage that’s probably disproportionate perhaps to our scale. And so we generally speaking do a good job getting materials. And because we’re a very high mix organization by focus, one single component short, while it can impact the customer and make the customer unhappy, generally it’s not going to take us off the rails in terms of the overall outlook for the company in any kind of significant way. So I think it’s a lot of hard work but I don’t think it’s hurting our ability to deliver on our commitments. It really just hurts our ability to try to respond to customers who want more product. Because it’s really hard to get more in a short timeframe. 
Operator: Our next question comes from Joe Wittine of Longbow Research.
Joe Wittine – Longbow Research: First of all congrats on getting off to half-billion for the quarter. My first question is on the new wins. I’m just curious on how they were weighted by sector. I know in recent quarters it’s been heavily weighted towards the medical sector. So how were the new wins weighted by market, and were there any new customers in there? What percentage of those wins are truly new projects versus replacing existing programs, which I know is probably the majority of it?
Dean Foate: Let me give you a little color on the breakdowns. Just starting off, were they existing customers or were they new targets? Nineteen of the twenty-two were existing customers, and generally speaking these are additional product lines with these customers, so it’s share gain. So the existing technologies that we manufacture are still in place and these would be additional share of new products. Now in some cases you could argue, well, you know, some of these other products are going to go end of life eventually and this replaces that revenue. But generally speaking we don’t announce a new win as a new purchase order for something that we already manufacture. So these are new product technologies. From a market sector breakdown standpoint, when you look on a revenue basis a little bit better than 50% of the revenue is in the industrial commercial space. One of the programs was actually in excess of $50 million so it was a decent win in that industrial commercial space, so a couple of different product lines. Another 18% to 20% or so was in medical and then the balance of it was split reasonably evenly between wireline, wireless. and the defense space. So it really was heavily weighted this quarter towards industrial commercial and medical.
Joe Wittine: And just as a follow up, I was just hoping to get some more details on Penang now that it’s officially announced as the fourth facility there. Approximately how many square feet are you looking at, if you’re willing to disclose that, and how does this track along with your existing plan to get a little bit over half of the global footprint in Asia. Does this fourth facility in Penang put you a third of the way there, half the way there, etc.? And maybe just one last thing on top of that for Ginger. Does this change the outlook on the tax rate at all? I know it’s very low to begin with, but does more business in Penang lower the outlook even further?
Mike Buseman: I’ll take the first part of that and maybe let Ginger follow up on the tax rate dialogue. So this is the fourth facility in Penang, Malaysia. First off, we chose that location because we’re very comfortable, very confident there. We have three locations already. The fourth location will be in close proximity to the other three sites. We get a lot of operational leverage from that approach. Maybe some kind of attributes that we envision there. The facility we envision is going to be about 350,000 square feet. We think, incrementally, that will give us about another $400 million of annual revenue capacity. That probably puts us in the place to the other part of your question. It puts us in a space where we’re getting close to what we need within Penang to support that half of our revenue coming out of that region as we go forward. And I’ll probably pause there and let Ginger talk about the tax implications.
Ginger Jones: Thanks Mike. I’d say that we, as you know, enjoy tax holidays in Malaysia, which is definitely one of the impacts on our tax rate. But the other impact you’re going to see next year is that as we continue to ramp the Coca Cola program, that will be executed primarily in North America. So our view is we will continue to grow in Asia. That will continue to keep our tax rate we believe fairly low, and we believe the best estimate for F11 and forward is somewhere in the mid-single digits for our tax rate.
Operator: Our next question comes from Sean Hannan at Needham & Company.
Sean Hannan – Needham & Company: I just want to see if I can follow up and clarify the comments, Dean, that you made a bit earlier around a pause from the environment perspective. Are you necessarily calling this out explicitly for industrial and not as much for other segments? And so I want to see if we can get a view in terms of the environment. And then separately, to distinguish your business, it seems that the pause currently appears to be more specific to the September quarter based on the ramp profiles, new programs, and your business then has an opportunity where you start moving forward. If you can provide a little bit of color that would be helpful.
Dean Foate: I don’t think I’m trying to blame it all on industrial commercial. I think that generally speaking, forecasts over several months now have been adjusted downward from customers from the very strong level they were at before or earlier in the year. And so that has come down and as a consequence it took down Q4 as well but what we also saw that as part of that process is that the Q1 forecast improved. And so some of that revenue, essentially, or resumption of growth started to push out in time. Part of that obviously, there’s going to be some adjusting of inventories, adjusting of expectations among our customers generally speaking, although many of them in some of the communications-based ones really don’t carry much inventory. Just generally speaking, on the broad sense there has been an adjustment here that’s going on, a sense that perhaps the customers are getting ahead of themselves or getting ahead of the market a little bit. And so it’s not just industrial commercial impact, as when I guided the medical space that was after quarters of very strong growth in the 19% range. We’re seeing maybe up 1% or so in Q4. So again, Q4 is our September ending quarter. Now what we’re seeing is that the growth starts to resume as we start to come into Q1, and we don’t want to guide it yet, and of course we’ve also got the beginning of the acceleration specific to the industrial space of the Coca Cola programs. That also starts to occur in Q1 and unfold as we come all the way through F11. I don’t want to paint a picture here where we’re at all getting cautious or concerned or uncertain about F11. In fact we’re really working through our planning cycle right now for our big event with our board here at the end of August and we actually feel really good about how the F11 plan and forecasts are coming together, even in spite of some of the headwinds we had with a couple of customers that got acquired. We feel quite confident that we’re going to overcome the hole that that created in our forecast and be just fine for growing in our targeted growth range. It’s just a little bit early here given the pause. If all of a sudden this whole thing starts unwinding and get worse, then all bets are off from a global economic perspective. But at this point it really looks like the pendulum maybe swung a little too far with the customers. They brought it back, making some adjustments in expectations and inventory levels and our sense at this point, the numbers would suggest, that growth starts to resume as we come into the first quarter of the new fiscal year.
Sean Hannan: On the component side, the environment’s obviously been pretty constraining for a while. I don’t know if there might be any color perhaps that you could provide around missed opportunity or upside that that may have limited in the quarter. And then separately, you folks have talked around, instead of pinning down, hey, these are the specific components that were at issue during the quarter, you have indicated that there’s been really a lot of volatility in terms of jumping around from one set of components to another set as you get some of those issues resolved. Can you provide a little bit of any update around the volatility of that component environment, or are the issues now being rooted much more so in specific instances?
Dean Foate: Boy, I really don’t know how to give you too much more than what Mike gave you earlier. I’ll try. One is that I think that the component issue, at least as far as we’re concerned, there are definitely commodities that are tight. Mike can comment on that a little bit. But generally speaking the components that we end up chasing are really the components that are specifically associated with customer demand, either new programs or increases in demand within a short lead time. And so the customers will say gee, I need more of this product and all of a sudden that will create a bit of a crisis where we’ll find a component or two or more that are in short supply that we’ve really got to go and get on airplanes and talk to the suppliers of the components and try to get more product. And so that creates a bit of a challenge. It also creates a bit of a balance sheet, some float on the balance sheet for inventory, because what occurs is that you tend to get all the parts that you can and then chase the stragglers that are in short supply with the hopes that you can secure those parts and still build product and deliver it within the quarter. I don’t know that I necessarily want to quantify the revenue opportunities that are missed, but certainly there are revenue opportunities that we refuse to commit to, and that creates some stress with the customers and I’ve spent more time on the phone and been in more conference rooms with customers just trying to make sure everybody has cool heads because there’s a lot of frustration when you can’t support all the demand that they’d like you to support within a short window. But the reality is that’s what happens in a constrained component environment and then we work hard to try to get the customers to move toward what we call programs, where we put their parts in certain programs so that they’re available to them when they need them. In some cases we have an offset on the balance sheet for some components that we’re carrying on the balance sheet for customers and so it just creates more stress on the supply chain folks, more stress on the customer relationships, when we’re in this kind of tight environment, because we can’t be as responsive as we’d like to be generally speaking.
Operator: Our next question comes from Brian Alexander of Raymond James.
Brian Alexander – Raymond James: Just back to Coke, it doesn’t sound like they’re affecting your outlook for September yet I thought you were expecting about $25 million to $30 million in Q4 revenue from that customer. And they made comments yesterday that they plan to have a couple thousand units installed by the end of the year, which would imply no more than maybe $10 million to $15 million in revenue from that customer if my ASP assumptions are correct. And even if all the quarter-over-quarter growth in industrial in the fourth quarter comes from that customer, it would cap it around $15 million. So I’m just trying to reconcile some of the previous comments with what you’ve said today and figure out if that program really is on track.
Dean Foate: I think it’s delayed somewhat from what earlier expectations were, no question. Part of the revenue also has to come from the crew serve unit which is still going to get introduced as I understand it in the first quarter, our first fiscal quarter or the fourth quarter of the calendar year. But I don’t know that for a product at this level of complexity and in association with that the level of complexity in the Coca Cola supply chain, for the concentrate and in the Coca Cola reverse supply chain for support of the units out in the field, that I’m at all troubled by it. In fact I think this is a very complex opportunity. It’s a complex technology. We don’t see that there’s any specific gape from our perspective at this point. The manufacturing readiness is there. The supply chain is supportive of the production ramp. It’s just a matter of Coca Cola taking a little bit more paced strategy in terms of how they’re going to bring this thing up and how they’re going to deploy it into the field. And so we still are very enthusiastic about the program, extremely high expectations for how this thing could end up and of course we also like the fact that it really becomes a marquee program for us in complex electromechanical assembly that we expect are trying to leverage now and expect to leverage in the long run for similar kind of opportunities. So I don’t think that there’s anything that I would be concerned about relative to the ultimate view of this program.
Ginger Jones: And Brian, I would just want to clarify. We’ve talked about over the last quarter or two of Coca Cola in our fiscal year of being $25 million to $35 million, and that is absolutely still on track between what we saw in the third quarter and what we expect to see in the fourth quarter. And we have no change to our expectations for this program for F11 to Dean’s point. So we say no significant change and we feel very strong about our opportunities with this customer, both for what we expect for F10 and for F11.
Brian Alexander – Raymond James: Just to follow up on 2011, I know we don’t want to get ahead of ourselves, but realizing your growth target is 15%, your new wins were impressive again at $141 million. Is that kind of win rate sustainable here in the intermediate term? And if so, it would suggest new wins alone could get your growth rate closer to 20% next year, assuming just modest end demand, normal attrition from end of life programs, and the loss of some of the acquired customers that you’ve touched on. Again I know we don’t’ want to get ahead of ourselves, but am I missing anything in thinking about how good next year can be for Plexus?
Dean Foate: I don’t think you’re missing anything. I just wouldn’t put down a number like 20%, thanks.
Brian Alexander – Raymond James: Understood, and last follow up Ginger. The margin profile, the specifically 10% gross margin, 5% operating, you think you can hold that as you’re ramping up capacity aggressively? I just wanted to make sure that’s something you think you could achieve over the next several quarters.
Ginger Jones : We do feel confident about that, because I like to remind people that we are always managing ramping of new facilities and the fluctuations of various customers who are ramping. And so for example we are, although these sites have been around for three or four quarters, we are still managing bringing up to speed our two most recent sites in Hangzhou, China and Romania, so those create a bit of a drag. And we also have other sites that are coming up to Plexus profitability, like our site in Juarez. So as we bring those sites to profitability, it creates the ability to invest in new sites, and that’s part of the Plexus model that we manage to try to, in the long term, consistently deliver that financial model for our investors.
Operator: Our next question comes from Brian White of Ticonderoga.
Brian White – Ticonderoga: Dean, I’m wondering if you could talk a little bit about the pricing environment. It sounds like the mood has changed a little bit for customers. Has that resulted in any increased pricing pressure on the industry?
Dean Foate: Todd, I’ll let you, since you’re the guy ultimately who makes the decisions on how we price, I’ll let you take that.
Todd Kelsey: Sure. Brian, I guess what I would say is it’s probably a better pricing environment than it was a year ago. I would say a year ago we saw more signs of irrational pricing for certain pieces of business. Within certain of our market sectors I would say that we’re seeing much less of that right now. So it’s always a competitive environment here, and you always need to be competitive to win new business, but we’re seeing less evidence of people coming in attempting to maybe buy their way into markets or into customers than we had, say, a year ago.
Brian White: In the networking market you’re primarily focused on service provider. Could you talk about the opportunity in enterprise networking for Plexus?
Dean Foate: We’ve talked a lot about our efforts to diversify medical. We’ve also had quite an effort to diversify networking space as well. So we have a fairly decent exposure today now to the enterprise side of the opportunity here with a couple of our customers. So it’s still early for us but we’re seeing some of the growth that we’ve actually experienced here recently is associated with some of our customers’ success on that enterprise side.
Operator: Thank you. I’m showing no further questions at this time.